Operator: Good day, and thank you for standing by. Welcome to the Fulton Financial Fourth Quarter 2024 Results Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Matt Jozwiak, Director of Investor Relations. Please go ahead.
Matt Jozwiak: Good morning, and thanks for joining us for Fulton Financial's conference call and webcast to discuss our earnings for the fourth quarter and year ended December 31, 2024. Your host for today's conference call is Curt Myers, Chairman and Chief Executive Officer. Joining Curt is Rick Kraemer, Chief Financial Officer. Our comments today will refer to the financial information and related slide presentation included with our earnings announcement, which we released yesterday afternoon. These documents can be found on our website at fult.com by clicking on Investor Relations and then on News. The slides can also be found on the Presentations page under Investor Relations on our website. On this call, representatives of Fulton may make forward-looking statements with respect to Fulton's financial condition, results of operations and business. These statements are not guarantees of future performance and are subject to risks, uncertainties and other factors, and actual results could differ materially. Please refer to the safe harbor statement on forward-looking statements in our earnings release and on Slide 2 of today's presentation for additional information on these risks uncertainties and other factors. Fulton undertakes no obligation, other than as required by law, to update or revise any forward-looking statements. In discussing Fulton's performance, representatives of Fulton may refer to certain non-GAAP financial measures. Please refer to the supplemental financial information included with Fulton's earnings announcement released yesterday and Slides 19 through 28 of today's presentation for a reconciliation of those non-GAAP financial measures to the most comparable GAAP measures. Now I'd like to turn the call over to your host, Curt Myers.
Curtis Myers: Thanks, Matt, and good morning, everyone. For today's call, I'll be providing a summary of the operating highlights for the fourth quarter and for the year. In addition, I'll provide the status of a few key strategic initiatives. Then Rick will review our financial results in more detail and step through our 2025 operating guidance. After our prepared remarks, we'll be happy to take any questions you may have. Fulton's results for the fourth quarter and for the year were driven by the extraordinary effort of our team. We worked together to deliver a very successful year, both operationally and strategically. For the year, we delivered on our strategy and focused on our corporate mission to change lives for the better. As a result, we grew to more than 750,000 customers, reached $1.2 billion in total revenue, a record for the company. We delivered strong operating earnings per share, which was also a record performance, and we made tremendous impact in the communities that we serve. We completed and fully integrated the Republic transaction, delivering strong financial results on an aggressive timeline. We made significant progress on our FultonFirst transformation. This strategic initiative simplifies our operating model focuses on key strengths and enhances productivity across the bank. We strengthened our balance sheet by completing a sale-leaseback transaction, we restructured our investment portfolio and we improved our liquidity and enhanced our earnings power. Our capital position grew throughout the year as we generated solid internal capital and supplemented that position with a successful capital raise. As a result, we delivered a strong year and positioned the company for continued success in 2025 and beyond. Our 2024 financial results were strong, especially considering the backdrop of a volatile interest rate environment. Operating earnings per share of $1.85 was driven by strong fundamentals, the impact of the Republic transaction and the initial positive impact of our FultonFirst initiative. In 2024, total deposit growth was solid, Legacy Fulton deposits grew $878 million or 4.1%. And when including Republic deposits, total deposit growth was $4.6 billion or 21.3% for the year. Total loan growth was meaningful, while Legacy Fulton loans grew $316 million or 1.5%, total loan growth for the year was $2.7 billion or 12.6% when including Republic. Our net interest margin was consistent with last year at 3.42%. Given the volatile interest rate environment, we feel that this was a positive outcome. Our noninterest income growth was strong, excluding the impact of the gain on acquisition and the loss on the securities restructuring, noninterest income grew $31 million or 13.4% to $259 million. All noninterest income-generating businesses grew, led by wealth management at $9.2 million or 12.2% growth. Noninterest income continues to be a meaningful contributor to total revenue at over 20%. We declared dividends of $0.69 per share, a 6% increase year-over-year. And we continue to actively manage through the credit environment working with borrowers and managing relationships for long-term performance. While we see pressure due to the ongoing impact of higher rates and higher cost, performance in 2024 was in line with our expectations. Overall, we were pleased with our performance and the results our team generated throughout the year. Now let me turn to our quarterly results. Operating earnings for the quarter was $0.48 per share, a stable balance sheet and noticeable improvement in expenses drove the quarter. Total deposits were relatively flat with deposit costs down 10 basis points linked quarter. Total loans declined $131 million linked quarter. We generated a consistent level of originations. However, organic growth was offset by portfolio repositioning of selected Republic loans as well as the planned decline in our indirect auto portfolio. Our loan-to-deposit ratio ended the year at 92%, slightly below our long-term operating target of 95% to 105%. This position continues to provide balance sheet flexibility. Noninterest income for the quarter was $68.6 million, up $1.2 million linked quarter when excluding the adjustment to the bargain purchase gain. The provision for credit losses was $16.7 million, and our ratio of ACL to total loans increased to 1.58%. Overall, asset quality ended the year in line with our expectations, and we remain cautious as we enter 2025. Now I'll provide updates on two key initiatives: First, let me comment on the status of the Republic transaction. During the quarter, we completed the systems conversion, finalized our integration efforts and are now realizing cost savings in line with our initial assumptions. We saw noticeable financial contributions to the fourth quarter results and are excited to see the full benefits impact our results in 2025. Finally, I'll provide you with our progress on FultonFirst. As a reminder, FultonFirst is an important initiative designed to enhance growth, improve operating effectiveness and create sustainability, positive operating leverage over time. We are encouraged by the progress we've made to date, and we are looking forward to the full benefit realization over the next year and beyond. For 2025, we expect the initiative will improve our operating efficiency and allow us to keep our expenses flat on a year-over-year basis. We feel this is a significant accomplishment in the current operating environment. Now I'll turn the call over to Rick to discuss our financial performance and our 2025 operating guidance in more detail.
Richard Kraemer: Thank you, Curt, and good morning. Unless I note otherwise, the quarterly comparisons I discuss are with the third quarter of 2024. Loan and deposit growth numbers, I may reference, are annualized percentages on a linked quarter basis. Starting on Slide 5. Operating earnings per diluted share was $0.48 or $88.9 million of operating net income available to common shareholders. Deposit growth was relatively flat for the quarter. Growth in interest-bearing demand and savings account products were offset by a decline in time deposits. Our noninterest-bearing DDA balances were flat linked quarter at $5.5 billion, and remained at 21% of total deposits. As previously mentioned, total loans declined $131 million during the quarter due to the portfolio dynamics we discussed. On-hand balance sheet liquidity remains strong at over 19% of liabilities and included an increase of securities of $261 million, offset by a decline in cash of $380 million. Some of the decline in cash balances can be attributed to the maturity and subsequent repayment of $168 million of subordinated debt in the quarter. Impacts of these balance sheet trends are shown on Slide 6. Net interest income on a non-FTE basis was $254 million, a $4 million decrease linked quarter, while net interest margin declined by 8 basis points to 3.41%. The linked quarter decline was primarily driven by the effects of 100 basis points of easing by the Fed from September through December. In addition, we added $900 million of received fixed hedges to support a more neutral interest rate risk profile. Loan yields declined 23 basis points linked quarter to 5.97%. Included in the loan yield is $13.9 million of accretion attributable to the purchase accounting marks on the acquired Republic loan portfolio. Our average cost of total deposits decreased 10 basis points to 2.14% linked quarter. This decline was primarily due to the deposit pricing actions taken in tandem with the Fed monetary policy. Turning to noninterest income on Slide 7. Noninterest income for the quarter was $65.9 million. This included a fair value adjustment to the bargain purchase gain attributable to the Republic transaction of $2.7 million. Excluding this adjustment, fee income increased $1.2 million or 7% linked quarter. Moving to Slide 8. Noninterest expense on an operating basis was $190.6 million, a decrease of $5.5 million linked quarter or 3% on a linked quarter annualized basis. As of December 2024, we are achieving our projected annualized cost save estimate of 40% from the acquisition of Republic and are realizing the efficiency benefits of FultonFirst. Material items excluded from operating expenses as listed on Slide 8, were charges of $10 million of FultonFirst implementation and asset disposal expense, $9.6 million of acquisition-related expenses and $6.2 million of core deposit intangible amortization. Turning your attention to Slide 9. You'll see a reminder of the expected benefits of the FultonFirst initiative and financial assumptions. Turning to asset quality. The net charge-off ratio was up modestly to 22 basis points, while nonperforming assets to total assets increased 5 basis points to 69 basis points. Our ACL to total loans remains near historical highs at 1.58%, while the ACL on nonperforming loans came in at 172%. Slide 11 shows a snapshot of our capital base. As of December 31, we maintained solid cushions over the regulatory minimums. Our tangible capital ratio was flat linked quarter despite being impacted by additional OCI reserve of $44.5 million. OCI ended the year at a negative $288 million. On Slide 12, we are providing our operating guidance for 2025. Our guidance incorporates the projected decrease in Fed funds, up 25 basis points in March and 25 basis points in June of 2025. For 2025, our operating guidance is as follows: we expect our net interest income on a non-FTE basis to be in the range of $995 million to $1.02 billion. We expect our provision for credit losses to be in the range of $60 million to $80 million. We expect our noninterest income to be in the range of $265 million to $280 million, and we expect our noninterest expense on an operating basis to be in the range of $755 million to $775 million for the year. Our operating estimate excludes potential open first charges of $14 million and CDI amortization estimated to be $22.5 million. And lastly, we expect our effective tax rate to be approximately 18% for the year. With that, we'll now turn the call back over to Victor for questions.
Operator: [Operator Instructions] Our first question comes from the line of Danny Tamayo from Raymond James. Your line is open.
Danny Tamayo: Thank you. Good morning, guys. Maybe just start with a clarification question, if I can. On the average earning asset guidance, the growth, low single digits, that's off of the annual number, the $28.595 billion number, I'm assuming. And if so, is that -- it's a decline from the fourth quarter number? Just curious what's driving that?
Richard Kraemer: Can you clarify it? We didn't provide guidance on average earning assets.
Danny Tamayo: I apologize. I'm not sure if I'm looking at the wrong thing here. Well, why don't we just talk a little bit about what we're thinking in terms of balance sheet growth for the year and kind of where you may see that in terms of loans and on the deposit side as well?
Curtis Myers: Yes, Danny, it's Curt. So we're really focused on giving NII guidance, which you can see in the information. And then on asset growth, we continue in this operating environment to expect low to mid-single-digit growth on both sides of the balance sheet as we move forward.
Danny Tamayo: Okay. All right. Fair enough. And then maybe you can just talk a little bit about the provision guidance. Curious how you guys are -- you're thinking about like loss rates going forward, if -- are we in a normalization process? Are we approaching a peak? Just curious where you guys see normal reserves given the little bit of movement we've seen there as well?
Curtis Myers: Yes. So for 2024, we had given guidance in $40 million to $60 million and the provision excluding the day one CECL double count was just under $50 million. So we're right in line with expectations last year. The guidance going forward, the balance sheet is a little bigger this year based on the acquisition. So looking at that and looking at where we're positioned right now, we expect a similar year as we did to last year, and that's why we have that operating range on provision. We have a bigger reserve going into the year. And that's kind of how we see things right now, pretty stable relative to what we've experienced.
Danny Tamayo: Got you. So I was looking at the -- just to clarify the first question. I was looking at your comment on the operating guidance slide, low to mid-single-digit interest earning asset growth. So you're saying that's period end and not average?
Richard Kraemer: Yes, that would be period end.
Danny Tamayo: Got it. Okay, I think that answers my question then. All right, that's all I had. Thanks for taking my questions.
Richard Kraemer: Thanks Dave.
Operator: Thank you. One moment for our next question. Next question will come from the line of Chris McGratty from KBW. Your line is open.
Andrew Leischner: Hi, how's it going? This is Andrew Leischner on for Chris McGratty. Just on the NII guide, it looks like with the growth you gave in the guidance, it implies relatively stable margin. How should we be thinking about the cadence of the margin as we move throughout the year?
Richard Kraemer: Yes. Look, I think we're going to try to stay away from specific margin guidance just given the potential for several dynamics. When we think about NII, I would tend to think cadence over the year would be starting the year slightly lower in 1Q, given some growth and also day count adjustments and then gradually drifting higher over the course of the year.
Andrew Leischner: Okay. Thank you. And I know you've said in the past that buybacks have been third in line for capital use. Has the environment or your appetite changed to start thinking about buying back shares here in 2025?
Curtis Myers: Our priority for capital utilization would be the same, and that would remain third on the list. We do have an approved authorization. So we have that corporate flexibility to do that, but our priorities remain the same.
Andrew Leischner: Okay. Great. Thank you. I'll step back.
Operator: Thank you. One moment for our next question. Our next question will come from the line of David Bishop from Hovde Group. Your line is open.
David Bishop: Hi. Good morning, gentlemen.
Richard Kraemer: Good morning.
David Bishop: Just curious in terms of the FultonFirst initiative, I appreciate the guidance. Just curious, I mean to date, I don't know if there's a way to quantify, maybe realize cost saves or cost saves that are already sort of in the run rate?
Richard Kraemer: Yes. So in fourth quarter, we look at about just under $5 million in the run rate. So on a quarterly basis.
David Bishop: Got it. And then I think the $25 million is estimated to be $25 million, correct in terms of the whole year?
Richard Kraemer: Yes. So I think the simplistic view is you take that, obviously, multiply the 5 by 4 as 20 and you get incremental quarterly saves over the course of the year, getting to your $25 million.
David Bishop: Got it. And then in terms of the -- maybe shifting gears there a bit, the retention of the Republic Bank deposits. Just curious what you're seeing there in trends? And are you seeing any sort of mix shift there that's either aiding or abetting margin expansion? Thanks.
Curtis Myers: Yes. Overall, the deposit portfolio, the team is managing it well and it's stable. So we had initial runoff. I think we talked last quarter about it stabilizing that continued throughout this quarter that, that deposit base has been pretty stable. And we continue to be ahead of our initial assumptions on potential runoff.
David Bishop: Got it. And then maybe, Rick, just a housekeeping question. And I know it's sometimes tough to predict, but purchase accounting. Accretion income, about $13.9 million, any sense maybe where that averages per quarter into 2025?
Richard Kraemer: Yes. On a quarterly basis, you should be looking somewhere in that $13.5 million to $14 million.
David Bishop: Perfect. Thank you.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Matthew Breese from Stephens. Your line is open.
Matthew Breese: Hi. Good morning. First off, I was just hoping for maybe a reminder on the breakout between floating, adjustable and fixed rate loans and kind of what drove loan yields this quarter? I'm assuming it was just all floating. And then the other thing I was hoping for along the same lines, given some of your Fed outlook expectations, where do you expect loan yields to bottom during the year? Yields were down 23 bps this quarter. I was thinking of another quarter or two of down yields, but to a lesser extent. I was hoping you could walk me through that a little bit. Thanks.
Richard Kraemer: Yes, Matt. So just to put your attention on Slide 14 of our earnings supplement, we did put a little bit more detail in there on the bottom left corner in terms of the actual dollar breakout of variable versus fixed versus adjustable and then did provide some -- the weighted average contractual repricing date in terms of periods of years. So that will give you a little bit of a look in terms of -- obviously, the variable component just under $10 billion is relatively short, call it sub one month in terms of repricing. But the adjustable piece of $5.7 billion reprices on average at 4.48 years, right? So it certainly acts more fixed in the short term. I would also lead you to the coupons on that book ex purchase accounting are closer to 5%. So you do get a tailwind in the current environment of those repricing over the, call it, the next at least the foreseeable future with where rates are.
Matthew Breese: Great. I appreciate that. And then the second part of the question was just given your Fed rate outlook expectations, walk me through kind of loan yield expectations and where do you expect to hit the bottom on loan yields with two cuts this year? It feels like the NIM is going to be down and to the right or NII can be down to the right beginning of the year, but up into the right as we kind of get past the Fed cuts.
Richard Kraemer: Yes, I think that's right. I mean I'm a little hesitant to give a number on loan yields. But directionally, in the cadence, you're right, assuming we get the Fed to pause, you should start to see a fairly nice rebound because of that repricing dynamic I mentioned on the adjustable piece, right? So a little bit probably similar type of -- maybe we got 100 basis points effectively September through December. So I wouldn't expect quite the same amount of pressure on loan yields. But directionally and timing wise, I think you're right.
Matthew Breese: Appreciate that. And then, Rick, last quarter, we talked a little bit about the deposit rate environment. I think you had said something to the effect of near term around the 10% beta longer-term, 30%. Just give us some color on the deposit competitive environment and how you're faring relative to those goals? And when do you think you can hit kind of that 30% beta goal?
Richard Kraemer: Yes. I think, Matt, if we look -- as I look at, at least on spot rates, we're approaching on NMDs cycle, which is obviously a short cycle, call it, 20% plus, mid-20s. So I think we're probably going to get close there, hopefully, in the next couple of quarters. Certainly, the pricing dynamics have been beneficial. I would also point on total deposits on that same page, Slide 14, you'll recognize that we have a substantial amount of time deposits that mature over the course of 2025 and some of the pricing on those, at least on average is, call it, 4.36%. Retail CDs make up about 85% of that. And those have seen fairly substantial downward repricing. So similar rate, call it, 4.35%, I would expect to see 50, 80 basis points potentially more of benefit over the course of the year, assuming a stable competitive market.
Matthew Breese: Great. And then last one before I hop back in the queue. Low to mid-single-digit loan growth for the year. I was hoping for some clarity on where you expect to grow and where you do not expect to grow? In the last couple of quarters, C&I has been weak, but it's been other areas have kind of helped out. And I'm curious if we continue to see that trend in '25?
Curtis Myers: Yes, Matt, we're in a position to really focus on growth in all categories. So we feel good about where our CRE position is, C&I is always a focus. Consumer is always a focus for us. So we're going to continue to be focused on the diversification of the balance sheet and trying to grow in all categories. We do have the headwind that we had in this past quarter around the consumer indirect auto, runoff and some repositioning of acquired loans. So we might continue to have some of those headwinds and that's why we're looking at the low to mid-single-digit loan growth.
Matthew Breese: Great. Thank you. I appreciate that.
Operator: Thank you. One moment for our next question. We have a follow-up from the line of Danny Tamayo from Raymond James. Your line is open.
Danny Tamayo: Great. Hello again. Just a couple of quick ones here. First, I know you guys aren't talking about margin, but just curious if you have an expectation or how you're thinking about the accretion income expected this year?
Richard Kraemer: Yes. It should be fairly stable kind of in the $13.5 million to $14 million a quarter. So you're looking at $4.5 million to $4.6 million or $4.7 million a month. It tends to -- it will drift slightly lower as the year goes on, but that's a good range.
Danny Tamayo: Okay. And hearing you say that, I think you've said that already, so I apologize for the second question. Hopefully, this one is also not a repeat. But just curious on the guidance where you talked about the line items impacted by lower rates -- I'm sorry, by rates in terms of fee income. Curious specifically where those might show up and then your thoughts on mortgage banking within the fee income guidance overall?
Richard Kraemer: Yes. Look, I think on rates, depending on what happens, like the more volatile business lines or the more exposed business lines to rates are going to be mortgage banking, as you mentioned, commercial swaps, certainly. And then also wealth management, I think, look, depending on where rates move, equity market movement, obviously, correlates to the revenues of that business. So those are the primary pieces.
Danny Tamayo: You think some of those line items could actually be down in 2025 versus '24 or just a slower growth rate?
Richard Kraemer: We're coming off of historic record growth in our wealth management. You've had two years consecutive of 20% plus returns on the S&P. So I think we're being appropriately conservative in some of the forecast there. And then again, commercial swaps, if we're expecting low to mid-single loan growth, it likely won't be a huge year there.
Danny Tamayo: All right, thanks. Thanks for taking my follow-ups. I appreciate it.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Frank Schiraldi from Piper Sandler. Your line is open.
Frank Schiraldi: Hi. Good morning. Just wanted to ask about you got the systems conversion on FRBK, completed it. And you obviously still have work you're going through with the FultonFirst initiative. But just curious where potential M&A fits in terms of priorities? Is that something more likely to be looked at after FultonFirst? Is that something that you could do incrementally in the near term? Just curious your thoughts and maybe guideposts around what you would be looking for in potential deals?
Curtis Myers: Yes, Frank, it's Curt. Our strategy is the same on M&A. We look at $1 billion to $5 billion community banks in market really have a consistent culture and operating model and provide and accelerate our growth and then more strategic larger ones, we look at them really in two different buckets. That strategy is the same to being -- to your question of being in position to look at M&A, we feel we are back in position to look at M&A right now, and we would weigh the various corporate initiatives that we have going on to make sure that it's an appropriate thing for us to do. And that we can handle all the different activities. So we are engaged as we always are in that activity, and it's a possibility. But again, we will make sure we have the operating capability to make sure we execute effectively.
Frank Schiraldi: Okay. And then sorry, if I -- you've probably clarified this in the past. But just in the FultonFirst initiative, the $50 million kind of run rate through 2026, is that fully on the expense side, is there any additional pickup there on the revenue side anticipated from the initiative?
Richard Kraemer: Yes. All that guidance, Frank, is expense based.
Frank Schiraldi: Okay. So is that -- yes, sorry, go ahead.
Curtis Myers: Frank, just to add, there are growth initiatives as well, pretty significant growth initiatives, but we aren't building those into the numbers and they're going to be in our run rate as we execute going forward there to drive corporate growth, but we won't line them, we're just going to generate and execute on those strategies.
Frank Schiraldi: Got you. Okay. Do you think the timeline is sort of the same in terms of fully integrated by 2026, not to put too fine a point on it?
Curtis Myers: Yes. So the strategy implementation will be on the same timeline. But with any revenue growth, it takes time to build customer base and build that revenue. So that is over time. And again, will be included in our overall growth forecast and expectations.
Frank Schiraldi: Got it. Okay. Makes sense. Thank you.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Manuel Navas from D.A. Davidson. Your line is open.
Manuel Navas: Maybe just to follow up on that. Can you go into more detail about some of the revenue initiatives. I guess some of them are definitely year out, but we're another quarter along the process. Just seeing if you could give any more update on that kind of commercial growth initiatives?
Curtis Myers: Yes. Just some overall comments, a lot of the initiatives are to focus on our core strengths. So where we are currently performing well, add value to clients, have a strong strategy to further enhance that growth and focus on that. And then specifically on the business banking, small business, we've done well. And in our marketplace, it is a significant opportunity around a number of customers and revenue growth. So that is the specific line item or a customer segment that we'll focus on even more than we already do. We have a significant customer base now, but we think we can have transformative growth in the small business category.
Manuel Navas: Should we expect kind of more updates as the year goes on or maybe a year from now would be the update? How should we think about that revenue generating opportunity?
Curtis Myers: Yes. Over time, we're going to talk about those business segments and growth over time. So you will hear more about it. We probably through this year, you'll hear it in the construct of FultonFirst. But long term, you'll hear about that just as we operate and drive value and growth.
Manuel Navas: Great. Great. Just shifting over to loan growth for a second. Did you give an update on commercial loan pipelines? I apologize if I missed that. And I just wanted to hear if there's -- is that loan repositioning of FRBK side? Is that kind of done? Is there any more headwinds from that and the indirect auto anticipated? Just kind of thoughts on near-term loan growth with those in mind.
Richard Kraemer: Yes. Specifically to the headwind. So on the indirect side, we -- the portfolio is around $390 million in balances remaining and it's got an average duration of about 2.6 years. So I think you can -- all of people, you'd expect to see a similar type of runoff for a quarter, call it, in that $40 million range. But in terms of the Republic repositioning, I think we're -- we've integrated in the fourth quarter. So that was probably the largest actions you'll see, but I'll let Curt kind of elaborate more on some other details.
Curtis Myers: Yes. I just want to go back to the first part of your question. So those are the headwinds in indirect auto. And then as you work through an acquisition, you're going to have some of that, that will moderate as we move forward. And again, on Republic, we want to get to stability in deposit, stability in loans and then grow from there. So the team is really focused on growing that strategic marketplace in the Greater Philadelphia metro areas. So we think we have a really strong base to grow from. I think you'll see that pivot throughout this year as we work through those transitions. And did we get the first part of your question?
Manuel Navas: Commercial pipelines, I don't believe so, unless I missed it somewhere else.
Curtis Myers: Yes. So on commercial pipeline, the pipeline is relatively flat. So pretty consistent. And we've really been focused on the pull-through rate. So our borrowers moving forward, are they expanding? Are they buying that equipment? And we really haven't seen much of a change there, but we're hoping that the environment improves and that our underlying business customers become more confident to move forward on projects. So we really don't think we have to grow the pipeline as much as have borrowers be confident in this environment to move forward with projects.
Manuel Navas: I appreciate that commentary. And that kind of matches what many have said. So maybe loan growth kind of grows across the year as folks become more certain on the economy and on policy? Is that kind of the main thought process?
Curtis Myers: Correct.
Manuel Navas: Okay. I appreciate it. Thank you.
Operator: Thank you. And I'm not showing any further questions at this moment. I would now like to turn it back over to Curt Myers for closing remarks.
Curtis Myers: Well, thank you again for joining us today. We hope you'll be able to be with us when we discuss first quarter results in April. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.